Operator: Greetings and welcome to Allscripts Fourth Quarter and Full-Year 2019 Earnings Conference Call. [Operator Instructions] Please note that this call is being recorded.I will now turn the conference over to our host, Stephen Shulstein, Vice President of Investor Relations. Thank you. You may begin.
Stephen Shulstein: Thank you very much and welcome to the Allscripts' fourth quarter 2019 earnings conference call. Our speakers today are Paul Black, Allscripts' Chief Executive Officer; and Rick Poulton, our President.We'll be making a number of forward-looking statements during the presentation and the Q&A part of the call. These statements are based on current expectations, and involve a number of risks and uncertainties that can cause our actual results to vary materially. We undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our earnings release and SEC filings for more detailed descriptions of these risk factors that may affect our results.Please reference the GAAP and non-GAAP financial statements, as well as the non-GAAP tables in our earnings release and the supplemental workbook that are both available on our Investor Relations website.And with that, I’m going to hand the call over to Rick Poulton.
Rick Poulton: Okay. Thanks, Stephen. Good afternoon, everybody and thanks for joining our call today. As always, we appreciate both your time and your interest in Allscripts.I want to begin by thanking Dennis for his more than 7 years of dedicated service to Allscripts during which was both a transformative time for the industry, as well as our company. We really appreciate his efforts and wish him well in the future.I'm going to structure my comments today around three areas: first, the review of our fourth quarter performance; next, a review of the financial guidance we are issuing for 2020; and finally, conclude by discussing our thoughts on positioning ourselves for long term success.So, let me start with our performance. For the fourth quarter we saw continued strength in our sales efforts and delivered $312 million of bookings, which was up 6% year-over-year. This resulted in $1.1 billion of bookings for the full year which was up 15% year-over-year and at the high end of our guidance range. The strength in bookings was broad based and very balanced across our company. It is giving us confidence that our solutions are resonating with our clients.In addition, we had several significant client extensions that signed during the quarter. As a reminder extensions of existing business do not count in our reported bookings but they do add to our backlog and of course are strategically important as they reflect the healthy relationship with the client.Some notable examples in our U.S. base in patient business include first our largest client Northwell Health extended their managed services agreement through 2026. This follows earlier extensions of their Sunrise and TouchWorks contracts. Another client PIH Health extended its solutions and services agreements with Allscripts until 2025 and agreed to expand Sunrise to a recent newly acquired hospital.And we’re also pleased to recently announce that Memorial Sloan Kettering Cancer Center extended its Sunrise agreement through 2026. Now turning to international markets, our pipeline remains strong and we were pleased to enter into the Indian market with a partnership to deliver dbMotion. India was the third new market we entered in 2019 following Qatar and the Philippines.And looking ahead, we expect our international growth to continue outpace our domestic growth. Moving to the ambulatory market, we had another strong sales quarter as we continue to build momentum with new clients as well as existing clients. We are benefiting from competitive dislocations in the marketplace and our pipeline remains very strong.Our revenue cycle services business in particular is experiencing robust demand, as well as very positive industry recognition. And finally, as Paul will highlight later in his comments, our adjacent growth businesses continue to show strength as well. These include Veradigm, our care coordination platform called CarePort, and our patient engagement platform known as FollowMyHealth.These are true competitive differentiators for Allscripts and we will work throughout this year to continue to bring greater transparency to their performance. All-in across the company, year-end backlog stands at $4.4 billion or almost 2.5 years of revenue at our current run rates.Now, let me pivot to the P&L. As I do so, please reference the schedules in the earnings release, as well as the supplemental data workbook available on our Allscripts’ Investor Relations website. Also, my comments on the income statement will largely focus on non-GAAP metrics, unless otherwise stated. Full reconciliations of GAAP and non-GAAP figures are available in the earnings release.Fourth quarter non-GAAP revenue totaled $452 million. This is within our revised guidance range and up more than 2% on a year-over-year basis. Non-GAAP gross margins were 42.5% in the fourth quarter of 2019. That compared to 45.3% in the fourth quarter of 2018 and 43.2% in the third quarter of 2019. So, gross margins were disappointing and they suffered from continued higher-than-expected transition and cybersecurity cost in our hosting business, delays in service implementations, which drive unproductive labor costs, and the revenue mix we had in our Veradigm business during the quarter.Looking at operating expenses, our non-GAAP SG&A totaled $87 million, which was a $5 million decline from a year ago, and our non-GAAP R&D costs were $62 million, which was down slightly on a year-over-year basis. This drove an adjusted EBITDA total of $74 million for the quarter, which equates to a 16% adjusted EBITDA margin. And finally, cash interest decreased to $7 million and this resulted in non-GAAP net income of $28 million and non-GAAP EPS of $0.17 a share for the quarter.Pivoting to the balance sheet and our capital structure, in the fourth quarter, we issued $218 million face value of new convertible notes that mature in 2027. These carry a cash interest rate of 0.875% and inclusive of the bond hedge that we purchased at the time of the issuance, have an effective conversion price of $17.59 per share. We issued these during the fourth quarter to be in a position to pay-off the $345 million of existing convertible notes that come due this July.Because of this note offering, we were restricted from repurchasing any common shares in the fourth quarter. We currently have $102 million remaining under our existing stock repurchase authorization, and consistent with our past practice, expect to be opportunistic with additional share repurchases going forward. Lastly, we’ve finalized our settlement with the Department of Justice in January and we expect to pay the $145 million settlement in installments throughout 2020.We also expect to recover approximately half of that amount from a variety of escrows and insurance policies. While we will begin the process for coverage right away, full realization will likely extend beyond 2020. So now, I want to turn to our outlook for 2020. We are initiating guidance for full year 2020 bookings, revenue, and non-GAAP earnings per share. In addition, we're providing bookings and revenue guidance for the first quarter of 2020.As background context for this guidance, we expect our revenue to be negatively impacted in 2020 by approximately $50 million in year-over-year client attrition from acute care clients. I want to be crystal clear on two points here though. First, these are not new client decisions. These are client decisions that were made years ago and spanned across both the Sunrise and Paragon client base.Second, client attrition is not a new issue. We have experienced it in the past and will undoubtedly experience client churn in the future as well just as every competitor in the industry experienced to some level attrition. We call it out now though only because the timing of wind from departing clients aligned in such a way as to create a real bolus that is unusually high and will have a significant impact on year-over-year comparisons.So with that backdrop for the full year, we expect bookings of between $900 million and $1 billion. We expect full year 2020 revenue to be between $1.75 billion and $1.85 billion which represents a year-over-year growth of 1.5% at the midpoint and it incorporates the attrition impacts I just discussed. And we expect to earn non-GAAP earnings per share between $0.70 per share and $0.75 per share for 2020 which reflects an 8% increase at the midpoint from 2019.For the first quarter of 2020, we expect bookings between $175 million and $200 million, and we expect revenue between $420 million and $430 million. So as I mentioned at the beginning my remarks, I want to conclude my comments by talking about the future and positioning ourselves for long-term success. We've talked a lot in recent quarters about adjacent market opportunities and we are excited about our asset portfolio in these areas, and believe that we are way out ahead of our all of our competitors in realizing these opportunities.We also see the continued evolution of the more mature EHR business here in the US and we see the pace of client decisions which are almost always public sector deals in our international markets. This necessitates a continuous realignment of our operations and management resources with the different dynamics in each of these markets.Today, we don't think we are operating our full potential and that with a focused effort on efficiencies, resource alignment and streamline decision making we can improve upon our performance.We have begun a comprehensive review of our operations as well as the support infrastructure around them. To assist us in this effort, we have for several weeks now been interviewing top advisors in corporate transformations, and we expect to formally hire one of these firms within the next week.The role of the advisory will be threefold, first, to bring an independent perspective to our operational review and challenge some of our historical planning assumptions; second, to jointly develop with our management leadership a significant EBITDA margin improvement plan for the company; and third, to assist us in executing the margin improvement initiatives on the expected planned time line.Working with our advisor, we expect to complete the operational review in the next 10 to 12 weeks and as soon as it's complete, we will schedule an investor day to share the results of the review and the details of the margin improvement plan with investors and analysts.The guidance that we have already shared today does not contain any assumptions about this operational review or margin improvement initiatives that will come from it. So we will update guidance as necessary at the investor day meeting.And with that, let me turn it over to Paul for some of his comments.
Paul Black: Thanks Rick.I'm pleased with our bookings results for the - both for the fourth quarter of 2019 and the full year. Bookings are the lead indicator of our offering’s success in the marketplace. These results give me great confidence we have made the right long term investments in strategic platforms to serve our client, both in the core EHR business and our solutions beyond the EHR. Operationally we're focused on driving more revenue conversion from our backlog by using our resources to faster support the implementation of the solutions that we've already sold.For the past few years, our strategy has been to position Allscripts to capture adjacent growth market opportunities as we transition from a growth HER market to a replacement market through both organic and inorganic investments, these additional platforms are paying off. Our three non-EHR platform businesses now represent approximately 20% of total company revenue.We talked in depth about our strategy for the Veradigm but let me highlight the other two growth platform. These include our patient engagement and care ordination businesses. These solutions are aligned with the faster growing markets for the clinical EHR systems, have recurring revenue, high margins are EHR agnostics and have a cloud based text back.Our patient engagement business FollowMyHealth consists of all our patient engagement asset including HealthGrid. We have integrated HealthGrid’s capabilities into the FollowMyHealth platform which now enables provider organizations to contact 100% of their patient populations both pre-visit, during and post visit. Without requiring these consumers designed into a portal. We see very high utilization data with the strategic platform.When client use this platform to reach out the patients, we are averaging a 60% response rate. The continued adoption of value based care combined with the historically modest levels of usage of patient portals across the health care industry have made it critical for us to take this unique approach, consumer engagement solution design.As patient actively participate in their own health and wellness we see better outcomes and the potential for lower costs. This is obviously not only good for the patient but shows measurable returns to provider organizations.Our CarePort business provides care coordination software solutions to manage patient transition across the continuum. This continuum platform bridges acute and post-acute care EHRs and thousands of organizations and makes the care patients received across all settings in all episodes visible to providers, payers and ACOs. This visibility is especially crucial to providers that are at risk. Carrefour has an extraordinarily important data in resource coordinator not only for hospitals, but for everyone at risk especially payers.I’d like to just also discuss some innovations that we've delivered. Sunrise Community Care, our modification of Sunrise Electronic Health Record to a fully integrated EHR Service, built specifically to meet the unique needs of community hospitals. And if Q1 2020 User Survey, the Black Book Act passed more than 700 community, rural and critical access hospitals about their EHR and cloud-based systems.Allscripts was rated highest of the EHR suppliers for community, critical access and specialty hospital that were evaluating or currently implementing a cloud-based EHR. We look forward to the Sunrise Community Care as a solution for these unique market needs. We've also recently released Smart Pump Integration. This optimization of clinical workflows has helped our clients improve the clinician efficiency, achieving significant ROI, and patient safety results.Result - we've also made major strides in our human-centered approach to Solution Development, which builds on the success we've had in employing user-centered design principles to advance our solutions. This furthers our effort to improve effectiveness and efficiency in care, directly impacting clinician satisfaction.Before I wrap up, I also wanted to comment briefly on the information blocking rule currently being finalized by Health and Human Services. We have supported the effort to address Data Blocking since the 21st Century Cure's Law was in Congress and beginning to take shape and Allscripts has had multiple conversations with HHS, The White House and Congressional Offices. To reiterate our support, even when we provided feedback specifically on elements of the proposed rule that we thought needed altering.It will mean changes for our company and our client, but we have taken the physicians in 2013 that every patient has the right to control where their health data goes, when it moves and who sees it. We understand the final rule from ONC may be expected next week and we look forward to seeing what AHS releases.Looking ahead to the rest of 2020, this management team will focus on driving incremental revenue growth organically, manage our cost structure to drive margin expansion, optimize R&D for the best returns, and improve free cash flow performance. This will allow us to execute on our long-term capital employment priorities of opportunistic buybacks and or debt reduction and or accretive M&A. This focus will allow us to better serve our clients, benefiting associates and shareholders.With that summary, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from Jamie Stockton with Wells Fargo. Please state your question.
Jamie Stockton: I guess maybe the first one, Veradigm. Can you talk about how that went in the fourth quarter? It seemed like maybe it was a decent part of a shortfall. And I just did a quick scan of the numbers from the K, and the implied profitability in Q4 is pretty low. I know that's the GAAP number but any thoughts about what's going on there would be great.
Rick Poulton: Yes, thanks for the question, Jamie. I guess a couple, you asked about revenue and profitability on that. So, the year-over-year growth was pretty modest, that's a reflection really I’d say of two things. One, the media buy, which drives a decent chunk of some of the revenue particularly around the execution platform, can be spotty and they vary from quarter-to-quarter. And it tends to be something you see - you get a lot of when there seems to be excess cash around and not so much when there isn't.There was a softer volume in Q4 than we had expected and so, that's part of it. I don't see that as a long-term trend. I just see it as a reflection of what the conditions were in Q4 vis-à-vis media buying. And then secondly, I think from an expectations standpoint for us, the NextGen relationship that we talked to you about in the past, we thought we would have a bigger contribution in Q4. I believe they've spoken about it on their call as well, but that's ramping up a little slower than we’d expected.So, I think the opportunity is still sound. We remain very excited about it, but it didn't get quite the traction we expected in Q4, and therefore didn't convey the growth that we expected. On the profitability side, yes - I mean there's a little bit of noise. You have GAAP numbers, the unallocated amounts that we have - changed a little bit year-over-year. So you don't have quite apples and apples.But the biggest thing I'd say on Veradigm with profitability is, we've really consciously made a decision to invest in the infrastructure, particularly to support the data and analytics side of that business. And that's an investment that we carried all year, but just thought I think more pronounced even in the fourth quarter. And that's a one-time investment while a little bit still over into early 2020, but it positions us we think for scalability and growth going for the long-term.
Jamie Stockton: And maybe just one other question. You guys mentioned that you've been talking with advisors to come in and kind of review the business and look at profitability maybe specifically free cash flow has been very poor. I know that you guys want it to improve. Any thoughts on how we should think about 2020 I know you got the DOJ payments that you're going to have to make?So maybe excluding those, how should we think about 2020? And with any action to try to improve margin, it makes me wonder if that's going to translate into even more kind of cash severance costs, we just came off the heels of a period where there was a lot of cost integrating the McKesson business. Just any thoughts on that would be great?
Rick Poulton: Yes so, I mean I'll start by acknowledging your opening comments, the free cash flow numbers are pathetic, I don't know of another word. We've had two years in a row now. We're still well below our expectations. The number of things that contributed to it and but it is what it is. I think to the heart of your question as we look ahead, we should see - if you exclude the DOJ payments, and if you just put on the shelf for a second any further kind of restructuring type cost that might come from this initiative I described to you.I think we've seen a meaningful improvement year-over-year. We had a target for the year, we’ll probably be around 60%, 65% of conversion of non-GAAP net income to free cash flow. And sitting here today, I think that's a good goal for us and it's a realistic goal for us. I don’t - I think get ahead of myself on our program, but I would suffice it to say if we're going to invest any money to streamline and make company more efficient, that will be - a good ROI on that. So, we'll talk more about that when we get closer to the Investor Day I alluded to.
Operator: Our next question comes from Kevin Caliendo with UBS. Please state your question.
Kevin Caliendo: So, when I think about the fact that you said that the - acute care clients that you lost, you knew that they were leaving presumably before you gave the three-year revenue guidance last year. I'm just trying to figure out sort of what's the delta, what's changed relative to the outlook you provided last year, is it next gen, is it a combination of a bunch of things? Can you just give us a little bit of visibility on that?
Rick Poulton: Look, I think the - I guess I make some comments. So - we set out some numbers in January of 2019 with an eye for [indiscernible] this is what we were aspiring to. I think sitting here today I think multiyear guidance is a little bit challenging for us. We keep changing the corporate structure a bit, but also I think the dynamics of the market are such that it's hard to predict some of the stuff that we're finding it's hard to do multiyear.I will say this if you pro forma for the attrition that’s lining up, and attrition, you know it's going to leave, but you don’t always know exactly when it’s going to leave. Certainly, you don't know it by quarter. So clients have a tendency to drag that out a little bit. Some actually accelerate, but more likely they drag. And so, it's a little bit difficult to model that with precision when you're far out. If you pro forma the guidance we’ve just given you for that $50 million, you'd note that the revenue range we're talking about is anywhere from up 1.5% to up 7-ish percent.So that's a growth rate putting you know - excluding this bolus of attrition that I described, that’s quite consistent with what we predicted a year ago. So I don’t know, if that’s pulling a few question but what I'm telling you today is this is, you know what we see today, this is a meaningful bolus that is - it’s real. But at the same time, it’s not decisions that were made recently, and you know, with the benefit of hindsight, maybe we could have done a better job predicting that a year ago.
Kevin Caliendo: Okay. Just one - I guess one quick follow-up, is the intention for Rick to be the interim CFO while you execute the search or could Rick - could he be wearing that happened quite a bit quite a bit of time going forward. Is there any decisions on that?
Paul Black: No. There's been a decision. Rick will be the President and CFOs starting tomorrow.
Operator: Our next question comes from Eric Percher with Nephron Research. Please state your question.
Eric Percher: With respect to the review and planning that you're planning, how does this fundamentally differ from some of the approaches you've gone through in the last couple of years, I know it has led to some segmentation and changes to business. What is it at this point in time that you feel you need or that you have the opportunity to do versus the last several years?
Paul Black: Eric I guess the best way I could describe it is I think what we've done you know what we've done in the last couple of years you know from my perspective is you know, first, we had a lot of you know organizational integration to do particularly with the McKesson acquisition. So we had a number of initiatives that we cataloged and we went you know ticked down that list and do it. And since then, I'd say we've been in kind of a reactionary mode to the market.And to the conditions we were facing at certain time, and so we've incurred - yeah, I mean it seems like a serial conversation. We've incurred nontrivial amounts of severance along the way. This is designed to be targeted at where opportunities are, and therefore it’s sustainable improvement. It's not simply about cost either. There are some I think revenue opportunities that were under optimizing today as well. But it's meant to be targeted and it’s meant to be durable.And if we do our jobs right, I think we'll be able to give you a perspective on what the investment will be required to make that happen. You have the ability to hold us accountable to that. So, that's - I think of it differently in that regard.
Eric Percher: And relative to the ongoing market, when we look at the attrition that you're now experiencing, the bolus of - is that attrition that - I assume it's multiyear movement away. Is some of that started in prior years and you're seeing that the biggest piece of that business move away or should we assume that there are several years, where this could stair step up plus any additional attrition?
Paul Black: Yes. I mean again - that’s what I wanted to point, I want to really try to drive across. I don't want - we’re not going to sit here and try to just claim that attrition has just hit us for the first time ever right now, that's not true.
Eric Percher: Sure.
Paul Black: That's a fact of life. And that's a fact of life not only with us, but again with every competitor in the industry. The bolus again was such that we just had an alignment of the stars, if you will, that it's a significantly larger number now as we stare at 2020 than it has ever been in the past.I don't see that as trend towards more defections. I think again a lot of it on the Paragon side was embedded, a lot of it on the Sunrise side, our client losses that you guys are certainly familiar with, that happened some time ago. Is it likely to stairstep up from here? No, I don't believe so. Certainly not with anything that I see today.
Operator: Our next question comes from Jeff Garro with William Blair & Company. Please state your question.
Jeffrey Garro: Want to ask about the bookings guidance for 2020, maybe you could help walk us through some of the drivers of that expected performance first 2019? And I know in 2019, you had some really important and sizable large client wins so, if there's any way to kind of quantify how 2020 looks on a more apples-to-apples basis without some of those larger clients deals that we saw in 2019 might be helpful?
Paul Black: I mean, I'll just start by just maybe at the risk of overstating the obvious, I’ll tell you, the guidance we put for 2020 is the same guidance we started 2019 with. So 2019 wound up being a stronger sales year than we expected. That's obviously a good thing. But to your point, that was helped by a couple of large deals that were on the inpatient side of our business. And those at least they’re great when they come but they're - we're not predicting the same level to stand.So we're kind of rebooting to the same level of guidance as we started last year. When we provide that here, where we really think it will be broad based across our U.S. inpatient, our international, our ambulatory, and our adjacent market businesses that Paul described.And so they're all going to be good contributors in our view right now. And obviously to the extent we see trends that are - that weren't picking that up, we'll pick it up, and hopefully we won't have to take it down, but that's our best minds right now.
Jeffrey Garro: I'll have one more follow-up on the attrition topic. Maybe you could give us what average attrition has looked like over the last three to five years. And maybe another way to look at is what percentage of the current and recurring revenue base has already given notice of attrition from some prior periods?
Paul Black: The dollar impact this year, in 2020, is more than 2x what we would have experienced last year, so which again is why we pointed out for this year. I'm not sure I fully appreciate the second part of your question. I think you're asking is there more that would be coming in the future, is that what you're asking?
Jeffrey Garro: You acknowledged that this isn't a new issue. Maybe some clients had made a decision to move to a different platform several years ago. And I'm trying to get a sense of that tail that might have already given notice, but isn't factored into 2020.
Paul Black: So if you think about people we know about today that are going to try at least based on the notice they’ve given you, and it’s worth saying - it is worth pointing out there are - we have had more than a few instances, where a client thought they were going to leave. And then at the last minute, decided that they really - the grass was not greener on the other side and they came back. So, that’s also why it’s a little difficult to talk about it too far out.But I would say have other clients who have indicated their intent to leave and the impact would be felt beyond 2020, that's probably about another $30 million to $40 million or so. But that bleeds out over several years beyond 2020. That's not a one-year hit.
Operator: [Operator Instructions] Our next question comes from George Hill with Deutsche Bank. Please state your question.
George Hill: I guess, Rick and Paul, my first question would be around the cost savings program. Are there any parameters that are already kind of set up around the program or any goal posts? I'm wondering like if you guys are open to radical transformation ideas if that's what the consultants come back with, whether it's kind of breaking up the company or you know whatever they think could be the right answer to kind drive growth and returns for shareholders.
Paul Black: I mean George, we're you know we're way beyond proud of our partnership here. We're open to any great you know good ideas. I would say the scope of what we're looking to do though is right now is with this team is to get really focused on improving financial performance and free cash flow generation. That means that. I think strategic decisions that could go beyond that, we're less likely to look to them for that kind of guidance. But we're very open to ideas and we will share all significant ideas we get with our board to make sure that they have the opportunity to deliberate those ideas as well.
George Hill: And then maybe a quick follow up would be is close the DOJ settlement as it relates to Practice Fusion. A lot of the news that came out about that had to do with kind of the marketing of opioid products. And are you guys worried about having any downstream opioid liability risk that might be separate from the DOJ settlement?
Paul Black: Yes, you know look, we know that got a lot of headlines, George. I mean we're more than a month beyond announcing that final terms of the settlement. There's been zero follow-on to it which is what we thought would happen. You know, there was - the settlement with the DOJ was comprehensive, it included a lot of different issues. Only a little bit of which was around the opioid topic. But look, we can't - we're not perfectly clear going on the future, we don't know. But I guess so far so good.
Rick Poulton: And I'd add George from a client perspective, we did not get a lot of feedback from US based clients nor international clients on that specific topic. Not to say it was isolated, but just it was - there were surprisingly few questions about it, number one. And then I would say also number two, that I think our ability here to go now and play offense with it will help us a lot with regard to the settlement and what we're going to do to protect our shareholders to get some of that back through the appropriate mechanisms that exist because of the way that we had backdrops and insurance policies set up for unlikely events like this.
George Hill: And then I guess maybe just a quick follow-up and kind of as it relates to the expense component. I assume you've done a lot of the legal expenses related to this topic of the margins will run down?
Rick Poulton: So you're a little cut out a little, will wind down, is that what you said?
George Hill: Well, like now the DOJ settlement, would just like from a cost perspective like a lot of legal caution might be behind this right?
Rick Poulton: Yes, I mean, the run rate of that should go down materially, yes.
Operator: Our next question comes from Matthew Gillmor with Robert W. Baird. Please state your question.
Matthew Gillmor: I wanted to come back to the revenue performance. I appreciate the comments you made on Veradigm. In the past calls, you also talked about some delays with ramping some HealthGrid and RCM service, it feels that were coming online. I was hoping you can update us on those contracts and are you still expecting that to ramp over the next couple of quarters?
Rick Poulton: Yes, Matt. I mean, that's definitely, those are both contributors to again I described it earlier, as it began a few pro forma for the attrition that we've called out. Our revenue guidance range is 1.5% to a little over 7%. That's largely being driven by - not just the two things you talked about, but they are certainly meaningful contributors to it.
Matthew Gillmor: And then could you spend a second just talking about the capacity for buybacks? I know you were - sounds like you're kind of blocked out for the first part of the year, you're levered I think under three times now. I know a lot of the free cash flow will be eaten up by the by the DOJ settlement, but just give us some sense for the appetite and the capacity you have to buy back stock if you wanted to.
Rick Poulton: Yes. I mean we're about 2.7% under our coverage ratios right now. So, we have a full turn that we could theoretically apply. You'd run through the authorization long before you got that. So, we'd have to go back and increase our authorization first with our board. But I think suffice it to say, Matt, we can certainly be as ambitious as we've been we're last year without any issues regarding debt covenants.
Operator: Our next question comes from David Windley with Jefferies. Please state your question.
David Windley: I wondered if you could quantify the impact or the headwind to EBITDA from the attrition - the $50 million that you’ve called out?
Rick Poulton: Yes, I mean it's going to be roughly - it’s a mix of software-related and service-related revenue, so I'd say it's kind of a composite margin is the right way to think about the value of the revenue we're losing.
David Windley: Okay.
Rick Poulton: Obviously, we're going to offset that with revenue growth. So, I don't - I think you should just you should just think about if by itself, it’s not going to change the market profile of the company.
David Windley: Okay. Separately, I think there was some comment in the prepared remarks about implementation delays or it might have been one of the answers to a question, but implementation delays impacting revenue in the fourth quarter, is that then flowing into 2020? I just want to understand if there’s kind of a positive impact there.
Rick Poulton: Yes David. I had made that comment around the gross margin performance and I was rattling off a few things that contributed to our gross margins were down. When service projects get delayed, you wind up with unproductive labor. And so that kind of hurt, you have the cost without the revenue.
David Windley: Sure.
Rick Poulton: We should get a lot of that back in 2020. Most of the client base - the EHR client base for the most part all need to upgrade this year because of regulatory reasons. So, we should get - that back. But I would also say that's reflected in our revenue guidance.
David Windley: Okay. And then last question on Veradigm, you mentioned in regarding to the NextGen relationship, slower ramp there. Is that a date of receipt from them, is it an infrastructure kind of activity with your clients. I'm wondering what the stage or the point at which that delay is happening in the ramping of that business?
Paul Black: Yes it's predominantly just the interfaces between us and them and other issue.
David Windley: Okay. So it's not so much I guess what I'm wondering is your critical mass of data significant enough to be gaining sales traction in that business or do you need to still aggregate more data, more deals like the NextGen deal in order for that to be material enough to catch your attention?
Paul Black: We don't think so. We think - again, their data set combined with our data set in terms of primary care represents half the U.S. population in terms of growth.
David Windley: Okay, all right.
Paul Black: It’s big. We don't think we need more. We just need to have - be able to aggregate the information, link it with other relevant data such as claims and things like that. And then we need to package that in sales activity. So our sales is, kind of two things that happen. One is the interface between us and them, and then secondly our sales team needs to continue to close business there.
Operator: Our next question comes from Gene Mannheimer with Dougherty and Company. Please state your question.
Eugene Mannheimer: Regarding the - just back to the attrition topic - if these or the bulk of this are maintenance contract say, that former clients, hospitals had contractually committed to for a defined period of time, even after they made the decision to leave after which they wind down, wouldn't you have more predictability into when that revenue was going to go away?It seems to be sort of blindsided you a little bit. And then my follow-up to that is it reasonable to say that the entirety or the overwhelming majority of your growth is now coming from the non-EHR segments that you characterized before? Thanks.
Paul Black: Yes Gene, I don't think the premise is quite right at all. It's not just software maintenance that’s slowing from these old clients. I mean a lot of this is various forms of managed services, hosting, in some cases we had outsourcing relationships too. And that's why I made the comment earlier is, I mean - the composite revenue pool is kind of the same type of blend you see across the company today.It's not simply software maintenance. As to the comment on - we seem blindsided. I'm not trying to suggest that. I think we probably could have done a better job projecting and maybe more importantly, communicating. But what's happened is happened and I’m just sitting here telling you today that the number is higher than the past. I said, as I shared earlier, more than double. I think that now qualifies as - a fairly, a significant amount. It will impact comparisons.And I just want to make everybody understand what's happening there. So it's in the end, it's not a science to know exactly when this stuff’s going to happen because client - clients may think they're doing something and then turns out that they need six months, nine months or even more than that longer to actually run off the system. So, it's not as perfectly predictable as you might think.
Operator: Ladies and gentlemen, there are no further questions at this time. I'll turn it back to CEO Paul Black for closing remarks. Thank you.
Paul Black: Thank you very much. We're glad that 2019 is now behind us. We have a lot of moving parts going on and in 2020. We'll get a lot of clarity, not only with the existing clients, but also with the new perspective ones that we're working on. The growth businesses are positioned to grow very nicely this year.And we expect to get some very nice return of the investment we're going to make by bringing an independent third-party review of everything that we talked about today. Thank you very much for your time and your interest in Allscripts. Have a good day.
Operator: Thank you. This concludes today's conference. All parties may disconnect. Have a great evening.